Operator: Welcome to Viasat's FY20 First Quarter Earnings Conference Call. Your host for today's call is Mark Dankberg, Chairman and CEO. You may proceed, Mr. Dankberg.
Mark Dankberg: Okay, thanks. Good afternoon, everybody and welcome to Viasat's earnings conference call for our first fiscal quarter of 2020. I'm Mark Dankberg, Chairman and CEO, and I've got with me Rick Baldridge, our President and Chief Operating Officer; Shawn Duffy, our CFO; Robert Blair, our General Counsel; Bruce Dirks, our Treasurer and Paul Froelich in Corporate Development. Before we start, Robert will provide our Safe Harbor disclosure.
Robert Blair: Thanks, Mark. As you know, this discussion will contain forward-looking statements. This is a reminder that factors could cause actual results to differ materially. Additional information concerning these factors is contained in our SEC filings, including our most recent reports on Form 10-K and Form 10-Q. Copies are available from the SEC or from our website. Back to you Mark.
Mark Dankberg: Okay. Thanks, Robert. So, we will be referring to slides that are available over the web. I'll start with an overview, and then Shawn will discuss the consolidated and segment of our financial results, and then I'll provide some additional color, we'll review our outlook and take questions. So, last quarter we talked about momentum carrying over from our fiscal '19 into fiscal '20 and that certainly helping drive our first quarter results, with 22% year-over-year revenue growth and adjusted EBITDA up 115%, compared to last year. Underlying sources of momentum include a significantly higher residential ARPU base, more In-Flight connectivity planes in service, and a more diverse base of In-Flight Connectivity Services, all compared to where we were a year ago. Plus sustained growth in government products and services orders has built a significant backlog and we see expanding opportunities to grow our addressable markets within the US and with close allies. Adjusted EBITDA growth is yielding lower net leverage. That's down from about 5x last year to 3.3x at the end of the first quarter. De-levering is due to our typical satellite launch investment cycle, revenue growth enabled by cost effective bandwidth and attractive geographic markets, and margins derived from the relatively low variable cost nature of satellite network infrastructure services, and also help to illustrate the longer term potential for free cash flow and de-levering offered by the ViaSat 3 constellation, even long investing in follow on networks. In the mid-term, we expect net debt to grow with ongoing investments in ViaSat 3 space and ground infrastructure, but corresponding adjusted EBITDA growth can maintain prudent levels of net leverage. Executing on a truly differentiated strategy takes persistence, the constancy of purpose and actionable market technology and business insights. We aim to use our vertically integrated systems technology to be the most cost effective manufacturer of bandwidth in space, in the most attractive markets. We believe vertical integration, including direct relationships with end users, is a key element in generating the greatest potential value for that panel. That includes testing and refining, innovative new delivery systems and business models and adapting to the unique characteristics of each vertical market. We've learned a lot already in the US residential broadband, In-Flight Connectivity and government and defense applications. Over time, we've earned a reputation for innovation and performance. We're gaining leadership in total revenue, as well as growth rate. We're continuing to innovate and learn in existing markets and have begun investing in new vertical and geographic markets. We believe our investments in market intimacy are paying off in growth, earnings and customer satisfaction, as compared to just a wholesale, transmission pipe approach. As we make continued progress on the first ViaSat 3 satellites, it's important to understand the purpose of this generation relative to ViaSat 1 and ViaSat 2. ViaSat 1 and 2 were creative satellite designs. They used off the shelf payload components. ViaSat 3 incorporates a decade of innovation in space and ground network technology and the lessons learned from multiple generations of payload prototypes. It's a fundamentally new, highly integrated space-ground architecture, establishing a new set of tools for broadband satellite design and construction, with an emphasis on scalability. If things continue to go well, ViaSat 3 is just the first instance of a new series of spacecraft delivering significantly more bandwidth, higher speeds and greater flexibility with each generation. System tests of performance to date supports the industry leading bandwidth productivity we've been aiming for, as well as superior real time flexibility in geographic coverage. We haven't seen any technical architecture under construction or even proposed that we believe is comparable in the geosynchronous satellite space. There are some real regulatory filings with aggressive and innovative payload architectures. But we believe the ViaSat 3 architecture is the most scalable, considering long-term trends and payload device integration. We've now made enough progress on ViaSat 3 to begin designing and analyzing the ViaSat 4 follow-on, that could achieve similar or better relative productivity advances as ViaSat 1, 2 and 3 did in their time. As we get more detail around the performance schedule and budget trade-offs over the coming months, we'll give more information on that. For now, we're excited about the progress on ViaSat 3 and we're very focused on executing the program, but we are definitely defining a path to increasing our competitive advantage in the broadband space in the future. We're pleased with our financial results and I'll just touch on the highlights here. Total first quarter revenues of $537 million were up 22%, compared to the same period last year and are as higher than any other broadband satellite network operator. Adjusted EBITDA in the first quarter was $97 million, up 115% compared to the year ago quarter, a very good start to the year. Shawn will go into more depth on sources of adjusted EBITDA growth. Awards, which are often lumpy in the government and commercial Networks business, are a little bit down compared to an exceptional first quarter of last year. The backlog is still higher than this time last year, as a result of robust awards over the last several quarters. In addition to the firm contract awards, we received a new GSA $250 million IDIQ contract, which is a timely purchasing mechanism for many of our non-developmental item, government products and services. As of the end of the first quarter, we had well over $1 billion in un-awarded IDIQ and contract option value that we expect to convert into revenue. That's not included in our backlog. As our non-developmental item business grows, we anticipate these in IDIQ or Indefinite Delivery -- Indefinite quantity contracts can facilitate a greater volume of our government revenue, without necessarily showing up first in backlog. We believe those IDIQs and the contract options are good indicators of demand. So, with that backdrop, I'll turn it over to Shawn.
Shawn Duffy: Thanks, Mark. Our fiscal 2020 is off to a very good start, with year-over-year trends supporting the solid growth we expect in fiscal 2020, and beyond. But, all Q1 revenues of $537 million increased 22% year-over-year, led by 20%-plus percent growth in both satellite services and government systems segment, which more than offset the anticipated ramp down effects of lower comer [ph] terminal deliveries in our Commercial Networks segment. Service revenues were up $53 million or 24%, while product revenues were up $45 million or 21%. First quarter adjusted EBITDA more than doubled year-over-year to $97 million, reflecting in the operating leverage that underpins our service businesses. Adjusted EBITDA margins were 18%, at nearly 8 percentage points compared to the same period last year, despite the growing investments we made internationally, as we expand upon our fixed and mobile broadband opportunities for us. Looking at each segment in government systems, we saw very strong revenue growth of $71 million, up 37% year-over-year. This was a result of strong product sells across many of our businesses, including record deliveries of our BATS-D handheld Link 16 radio and strong shipments of our small Tactical Datalink terminals. Segment Service revenues also grew strongly at 9% year-over-year, predominantly from government mobile broadband service offerings. Government systems adjusted EBITDA of $65 million represented a 49% increase over Q1 of last year. Gross margins were largely unchanged from the prior period, but a 3 percentage point decline in SG&A, as a percent of revenue, helped drive the higher adjusted EBITDA growth. Segment awards in Q1 were $215 million. As we've said in the past, awards in our government segment can be somewhat lumpy, it's just looking at our quarterly numbers. On a TTM basis, awards were nearly $1.2 billion or 31% higher than the same TTM period last year, which increased government systems backlog to $879 million, which is up $100 million year-over-year. And this backlog figure excludes unordered ceilings under the company's over $1 billion IDIQ portfolio and approximately $500 million in outstanding options under the AMSS service contract, as Mark alluded to in his opening remarks. Turning to commercial networks; we saw our quarterly revenues declined by 17%, mostly as a result of lower mobility terminal shipments this year, compared to last year's accelerated pace of shipments for the American Airlines program. Also, but to a lesser extent, the continued grounding of the 737 MAX aircraft negatively impacted terminal shipments. Looking forward, we believe this quarter's terminal deliveries represents a low point, but as long as a 737 MAX situation remains unresolved, there could be a continuing revenue impact in this segment, as well as in satellite services. Stepping back, the business is strong and the pipeline is growing. We expect to install approximately 510 additional IFC terminals under existing contracts, which was a 4% increase, sequentially. For the quarter, adjusted EBITDA loss and commercial Networks whined somewhat as higher SG&A expense and a slight increase in R&D investment, more than offset a 2 percentage point improvement in gross margins. Awards for the quarter were $99 million, of which about 75% was for fixed antenna and integrated networking solutions, a record for that business, and the remainder was associated with commercial airborne terminal. This brought segment backlog to $371 million, which is the highest it's been in the last 4 years. Finally in Satellite Services, we continue to see good revenue growth and even stronger adjusted EBITDA growth, despite the ramp in international activities I mentioned earlier. This quarter was our 6th quarter of sequential revenue growth, and also a record high of $197 million, up 28% year-over-year. Both the consumer broadband and commercial IFC businesses hit record highs, with fixed consumer broadband, accounting for just over half of the Q1 growth and the IFC business representing the bulk of the remainder. We expect this trend to continue, with even more of our future growth coming from new verticals. Fixed consumer broadband revenues benefited from a 16% year-over-year increase in ARPU from a growing premium service Pemex, as well as slight increase in the average number of subscribers, compared to last year. In commercial air, revenue growth was driven primarily by a 76% increase in the number of [indiscernible] service year-over-year and, to a lesser extent, an increase in ARPA. Our ending in service to account was 1,335 aircraft and that excludes 46 Boeing, 737 MAX that already have Viasat services enabled, but are currently grounded. In terms of overall financial impact, the reduced number of installs and delay in related service revenues could result in a fiscal year earnings pressure in the $5 million to $10 million range, which is based on a return to flight in the calendar year end timeframe. However, there continues to be considerable uncertainty on when these planes will return to service. So, we're monitoring the situation carefully. Adjusted EBITDA for Satellite Service segment nearly doubled, increasing from $34 million in Q1 of 2019 to over $67 million in the current quarter. This represents a 76% flowthrough of incremental revenue to adjusted EBITDA, due to the low variable cost nature of this segment. On a sequential basis, revenue to adjusted EBITDA conversion was closer to 30%, which reflects the impact of the increased spending on our emerging international fixed and mobile broadband opportunities. On the whole, a very good quarter with lots of momentum across our businesses, which is reflected in total Company backlog position of $1.84 billion, a $200 million increase to the same period last year. In Slide 6, we see our income and cash flows for the quarter, plus our debt and net leverage trends for the last two years. On the operating income line, we see the improvement in our adjusted EBITDA performance, while our net income reflects a lower tax benefit associated with the reduced current year loss, along with increased R&D credits. The net result was a Q1 GAAP net loss of $11.5 million and a non-GAAP net income of $6.4 million. Looking at cash flow, we generated $46 million from operations with the year-over-year comparison reflecting the substantially higher adjusted EBITDA this quarter, offset by a large increase in working capital. Most of this working capital change was an increase of product inventory to support the unit growth in our government business. Although the dollar value of inventory increased on a sequential basis, our inventory turnover was basically unchanged during this period. In CapEx, we saw investments increased by about $25 million year-over-year due to higher expenditures on the ViaSat-3 constellation, partially offset by lower expenditures on the ViaSat-2 ground network activities we completed last year plus our year-over-year reduction in CPE investments. So as I noted in the previous quarters, Q1 FY 2020 matched our adoption of ASC 842 related to the accounting for leases. Consistent to our previous discussions the adoption had no material impact on our debt, leverage ratios or various income measures and additional information regarding the growth of impacts for our balance sheet can be found in our Q1 FY 2020 Form 10-Q to be filed with the SEC. In the chart on the lower right, you can see that our net leverage position improved dramatically down to 3.3x from 5x compared to the same time last year. And there was also a slight sequential improvement from Q4 of fiscal 2019. We expect our net leverage to hover around the 3.5x area, plus or minus a half-turn throughout the remainder of the year. Finally, our liquidity position continues to be very strong. Our $811 million, which includes the cash on the balance sheet plus availability under our $700 million revolving credit facility. So, with that, I'll turn it back over to you, Mark.
Mark Dankberg: Okay. Thanks, Shawn. I'll give a little color on some of our business areas. The chart on the lower left shows the steady progress we've made over the prior 5 fiscal years in Satellite Services and the trailing 12-month period ending with our first quarter of fiscal year 2020. We've had 6 straight quarters of sequential segment revenue growth catalyzed by ViaSat-2 entering service and the benefits of its technical innovations and bandwidth productivity, geographic coverage and flexibility. The chart illustrates 3 important points. One, long-term growth in the U.S. residential market which was natural entry application for us given the design trade-offs that were possible when we began the ViaSat-1 program back in 2008. Second, is the long-term steady diversification of the broadband services revenue base that's been led by the U.S. In-Flight Connectivity market, which was also a natural follow on to the U.S. residential market and that was enabled by ViaSat-1 bandwidth productivity and consistent with ViaSat-1 area design trade spaces plus our acquisition of the Wildblue satellite fleet. And then you got to see the long-term growth in total satellite services revenues, a product of the sustained growth in each of the first 2 U.S. markets and now augmented by regional and global growth enabled by the ViaSat-2 architecture and innovative business models, leveraging our network technology with regional satellite operators around the world. Focusing in on the first quarter results, segment revenue growth was largely driven by higher value, higher bandwidth U.S. residential service plans yielding a 16% ARPU growth compared to the year-ago period along with some modest subscriber gains. Then growth in In-Flight Connectivity Services revenue was also a strong contributor as airplanes and service increased by 76% compared to last year. So both of those markets benefit from our satellite bandwidth productivity gains compared to competitors. We continue to carefully balance our U.S. residential service offerings for earnings growth in near to mid-term cash generation, part of which we're using to finance ViaSat-3. We are reducing CPE capital expenditures, lowering churn and boosting customer satisfaction. We continue to work on improvements in each of those 3 areas. We believe that our market-facing focus on high-value plans in terms of speed and total bandwidth per $1 is a good strategy for a satellite bandwidth productivity leader. This fits a context of continued end-user demand for higher speeds and more bandwidth and the landscape of ARPU growth for high-speed terrestrial ISPs too. We're also continuing to invest in innovative new network technologies. For instance, we are aiming to expand market tests that offer low latency comparable to that expected for Leo systems suitable for gaming for instance, to more U.S. customers this fiscal year. With continued success, those technologies could also meaningfully increase our addressable markets in the U.S. and internationally. So, as Shawn mentioned, we've got 1,335 commercial aircraft in our in-flight connectivity service excluding about 57 737 MAX planes that remain grounded at the end of Q1. The grounded planes are inhibiting our growth to some extent this fiscal year and that effect is likely to increase for a little while as new planes that otherwise would be fine are delayed but it also means we anticipate this step increase when the MAX returns to service. Community Wi-Fi, enterprise and new geographic markets are also contributing to growth and diversification. We think some of these early entries into new markets can yield significant contributions in the ViaSat-3 timeframe. Our early entry objectives include defining and testing service plans, building national and regional distribution and support networks, integrating with sovereign national infrastructure, adapting to national regulatory regimes and testing adaptations to widely varying local market environments. After a year work, we've obtained Brazilian court approval for the Telebras agreement, we executed early in calendar year 2018. We've established a strong partnership with Telebras and have already connected thousands of remote schools and government facilities with high speed Internet with the goal of reaching around 15,000 sites by the end of 2019. Court approval enables us to work on a broader range of applications and markets. So, focusing in on In-Flight Connectivity, it's an important component of growth in our Satellite Services segment. It's a great example of the power of our vertically integrated strategy in terms of Space system design, geographic coverage, network and user terminal technology, operational expertise and innovation in business models. We've earned strong positions in the U.S. and Australia are making an impact in Europe and with ViaSat-3 approaching are laying the groundwork for global growth for both regional and long haul intercontinental routes. But the growth opportunity for us is more than geographic expansion in market share. We're very focused on helping our airline partners leverage our network in distinctive ways that affordably enhance passenger experience and contribute to airline earnings growth. It should be obvious that no airline can meaningfully drive overall customer satisfaction by leveraging fast Wi-Fi if only a small fraction of passengers uses it. So even while this remains one of our fastest growing markets, we're still working closely with leading airlines to continue to increase engagement and enable innovative passenger cabin business models. We're making progress. Recently more airlines are commenting publicly about the importance of In-Flight Connectivity, in delivering a great passenger experience or conversely about the risk of poor Connectivity ruining an otherwise good fight. Free Wi-Fi is in the conversation more than ever. We've been delivering on that promise for JetBlue for years now. Continuing adoption of multimedia within messaging and social networks, as well as on the web and through rapidly growing cloud-based streaming music and video services continues to put a spotlight on bandwidth resources. There is also growing awareness of the operational benefits to airlines of abundant, affordable broadband connectivity. Airlines aren't going to just need a lot of bandwidth; they're going to need a large and growing supply of affordable bandwidth and that's the point of our focus on productivity. We believe we've earned the best reputation for delivering affordable high-speed, high-bandwidth connections for regional sites in North America, Australia and now within Europe and over the Atlantic. Now that the first ViaSat-3 launches are lining up with delivery schedules as parts of the new aircraft, we can compete on more global opportunities, making our industry-leading service platform available everywhere. We are pursuing 4 global initiatives. We recently introduced our new generation dual-band Ku and Ka-band terminal, well suited for the retrofit long haul wide-body market or for new aircraft deliveries either before or early in the ViaSat-3 on cycle. Second, we've engaged with existing and new airline customers to expand regional and long haul intercontinental service over Latin America, leveraging the coverage of ViaSat-2 and our agreement with Telebras. Third, we're engaging with China Satcom on network planning and deployment for our partnership for Ka-band in FY connectivity services beginning on China SAT 16, the leading broadband satellite for the China market. And fourth, we are now engaging globally with airlines for new aircraft deliveries around the calendar year, 2021 and 2022 timeframe, leveraging the ViaSat-3 global constellation. So we exited the first quarter with just over 500 additional aircraft anticipated under existing contracts. Excluding our just announced JetBlue order and the expansion of our relationship with United Airlines that was described in our earnings press release. The flow of new orders is pretty lumpy and always at the convenience of our airline customers. Excellent execution enabled us to show compelling market share gains throughout fiscal year 2019. Growth in active planes during the first quarter was not quite as robust, partly because we are so successful in accelerating deliveries in the last couple of quarters for American Airlines and partly because our strong position in the 737 MAX means we've got close to 50 planes temporarily out of service. But we're really excited about our new order pipeline and we've got very good growth opportunities as we begin to compete more globally. Our government systems business continues to have a very strong steady, profitable growth in the defense market that's both in need of an increasingly receptive to disruptive innovation. Revenue increased 37% year-over-year to $261 million and adjusted EBITDA grew 49% year-over-year to $65 million led by very robust product sales and steady services gains. We always point out that government business flow can be lumpy. While new contract awards of $215 million in the first quarter were below the first quarter of fiscal year 2019 exceptionally high comparable value our quarter ending backlog of $875 million is still 13% higher than it was at this time last year, driven by the sustained strong order flow we had over the last few quarters. It's also worth pointing out that our previously announced $450 million TSA IDIQ contract award in the first quarter increased our inventory of IDIQ value that we expect to convert to revenue to just over $1 billion. We don't include on awarded IDIQ contract values in our backlog until we receive firm delivery orders. So that $1 billion is not included in the $879 million backlog figure. IDIQs are important because they enable timely purchases for a number of our customers, especially for our unique non-development item, products and services. As revenue associated with non-development items such as the BATS-D Link 16 radio shown in this chart as those continue to grow, we anticipate higher a proportion of revenue and could derive from these contracting vehicles. I would also want to mention here, our previously announced award for the first ever Link 16 capable small low earth orbit satellite or real satellite. We won an Air Force competition for this proof of concept spacecraft based on our payload capabilities. Our diverse and rapidly growing base of small Link 16 terminals creates an exciting prospect of leveraging a potential global constellation of such Leo Link 16 satellites. There is a lot of work remaining to make that happen so winning this program, helps further illustrate our capabilities and strength in non-geosynchronous satellite systems, the significance of payload technology in satellite design and the synergies and convergence in our government systems product and service portfolio. Overall, we are -- continue to be very enthusiastic about our near, mid and long-term growth opportunities in government systems. We believe we're still in the early stages of expanding the market for our products and services from early adopters into the mainstream forces and to grow our presence in a number of attractive growth areas including space, cyber security and next-generation, high-performance terrestrial radio networks in the U.S. and with our allies. Okay. So, finally, this slide for outlook and key drivers is very, very similar to what we showed last quarter, which was at that time as a result of our execution over the course of fiscal 2019. The similarity last quarter is a good thing because it means we are performing across our business areas pretty much according to plan. We have continued growth momentum for fiscal 2020 as we build on what we accomplished in fiscal 2019. That offers attractive year-over-year revenue and adjusted EBITDA growth opportunities. In Satellite Services, our active commercial In-Flight Connectivity fleet is up 76% year-over-year, net of the ongoing 70 -- 737 MAX groundings. And our expanded services portfolio creates more revenue opportunities per plane. The ongoing grounding could pressure fiscal year 2020 adjusted EBITDA in the range of as much as $5 million to $10 million depending on when they return to flight. But we also anticipate a step gain in quarterly revenue and adjusted EBITDA run rate when that does occur. U.S. fixed broadband ARPU is down 16% higher than the year-ago value on a modesty larger subscriber base. Our satellite broadband services leverage a high fixed cost low variable cost model operating good opportunities for revenue to flow through to adjusted EBITDA expanding our margins. Government revenue and earnings jumped significantly year-over-year in the first quarter and our backlog is 13% higher than at this time a year ago, supporting good growth prospects for fiscal year 2020 as a whole. Plus we have this $1 billion-plus inventory of un-awarded IDIQ contract value that we expect to convert to revenue over time. Our success in our large -- in our target markets presents expanding growth opportunities in both government and commercial markets. We leveraged R&D and capital investments back in fiscal 2017 and 2018 into strong revenue and adjusted EBITDA growth, so we're mindful of comparable success-based investments on an ongoing basis. But the main takeaway is that our top-level expectations for attractive revenue, adjusted EBITDA and margin growth for fiscal 2020 remain intact. So that's it for our prepared remarks. And at this time we're happy to take questions.
Operator: [Operator Instructions] And our first question will come from the line of Ric Prentiss from Raymond James. You may begin.
Ric Prentiss: Thanks, good afternoon. I want to actually start with just, Mark. You touched on a couple of times, how the ViaSat 3 constellations are really important and the timing could lineup nice with some aircraft. Can you just remind us of the launch and service dates that you're looking at? And I think you have diversified your launch vehicles to. So I just wanted to know what's the current thoughts on the ViaSat 3A, 3B, 3C?
Mark Dankberg: That hasn't changed since we last talked about it. So we are talking about probably in the early part of calendar 2021 as the planned launch date for the first one. And then going into services, it's a new satellite so there is always a little bit of uncertainty with that architecture. But the main things that we did talk about previously are the launch agreements that we have executed allow us a much shorter orbit raising period. So that part has -- that part has condensed from months to probably around one month and then it will just be orbit test for the satellite before we go into service.
Ric Prentiss: Okay. And how about like 3B, 3C, as you look into EMEA?
Mark Dankberg: Those haven't changed. We've been looking at roughly 6-month interval from the launch of the Americas one to the Europe-Africa-Middle East one. And then we've said that we expect the launch of the third one to be before the end of calendar 2022.
Ric Prentiss: Okay. And then you mentioned that you're already getting excited that you might start working on Viasat 4. Would that be after the 3A, 3B, 3C or is there a fourth ViaSat 3 that have to come out or kind of what's the thought on Viasat 4 rough timing as you look at the exciting demand for bandwidth?
Mark Dankberg: We're not going to give -- I think right now we're going through, as I mentioned, the trade-offs on schedule, performance, cost. But what we're aiming for and what we expect is to have another pretty significant improvement relative to the ViaSat-3 series. So we've had ViaSat-4 because it's really kind of an embellishment of ViaSat 3. Think of it as a natural extension building on that technology. You don't have -- I mean its main objectives will be significantly more capacity per $1, big improvements in productivity. We'll talk about where we'll deploy it and what the schedule will be probably later this year as we complete the definition. But think about the returns of not -- a much reduced level of R&D to get to that solution versus what we went through with Viasat 3, except March that had more of an extension and be compatible with all of our ground that work.
Ric Prentiss: And then, you also mentioned LEOs, you've got the Link 16 in there and that you might be able to work with some of them or collaborate with some of the LEOs that are planned out there? That's probably one of the top questions we get from investors, what are these potential new billionaire space-club LEO constellations mean, will they get funded? What does it mean? So maybe just opine a little bit on how you see the Space, pun intended, playing out over the next few years.
Mark Dankberg: We've got a view on what makes for the best capital investments and I think that we really like our approach, because it allows us to deliver them. We think the most bandwidth per dollar invested into the places that have the most demand and that we can reinforce those. It's really difficult to do with those earth orbit satellites, we've spent a lot of time examining the filings. We think we understand what their approaches are. Some of them have some really innovative payload architecture. I'd say we still think ours is probably a better investment. It doesn't mean that some of them won't be deployed to some extent. One of the things we've mentioned multiple times is combining our geosynchronous satellite with either lower latency terrestrial infrastructure and, in some cases, possibly with lower latency LEO satellites, if they're available to deliver this hybrid GeoLEO experience. We're actively working that with some of the satellites. I think it's a very technically complex space, but I think if you look overall, we think it's going to be really hard for these LEO systems to deliver the same type of bandwidth economics, which means that generally they would be subject to either lower volume caps and we would be at the same point in time and the bandwidth would be significantly more expensive. We think the market really wants low cost bandwidth.
Ric Prentiss: All right. And your comment there on low latency terrestrial set relate back to some of the CAF II funding, you got and how it might Link with the ViaSat 3 constellation?
Mark Dankberg: No, no. The CAF II funding is really all based on purely satellite-based geosynchronous service. What we've alluded to about building hybrid networks with terrestrial, is essentially putting a router in a user's home that allows them to optimally combine satellite bandwidth with some terrestrial bandwidth. It's not as fast as the satellite, but has lower latency and that by combining those two, we can create the effect of high-speed, high-bandwidth, low latency communications. That's what that refers to, we're kind of in early Alpha testing now and we are aiming to expand our testing of that this year.
Ric Prentiss: Great, thanks.
Operator: Thank you. And our next question comes from the line of Simon Flannery from Morgan Stanley. You may begin.
Simon Flannery: Great, thanks very much. Good evening. Mark, you talked a lot about the IFC business. Can you give us a sense on the Ka/Ku product? How much appetite are you seeing potentially for customers buying that, in the next year or two, or rather more interested in waiting for ViaSat 3 and going with the pure Ka/Ku report approach? And then on the IFC revenues, what are the trends in average revenue per aircraft and usage that you're seeing there? Is that something where there continues to be -- not as the aircraft online moderates with the American fleet migrating over, are we going to see potential for upside in ARPU over the next year or two as usage grows? Thanks.
Mark Dankberg: Okay. Thanks, Simon. On the Ku/Ka, what we wanted to do was to engage with airlines now on global routes. And as I mentioned, there is several different markets, think of it as some retrofit opportunity in there, where there are planes that are already in service and depending on where those things are, good candidates for Ka/Ku now. Because, for a number of them, a large fraction of their seat mile expectations are in areas where we have Ka band and the Ku provides continuity and basically this same level of service that you would get from any other kind of activities service in those KU areas. Then there are some that are depending on the time, the delivery date of new aircraft where the Ku/Ka is also interesting. And then also, as you alluded, having the Ku/Ka product has really brought us into the conversation with airlines that are taking delivery of new aircraft in, say, the 21 or 22 timeframe. And, we don't have any announcements to make today, but we will have a number of interesting takers on the hybrid Ku/Ka terminal. We're seeing good interest in that, we're making progress on Type certifications for that. And then, that also led to some discussions with airlines who, when they look at the timeframe of their airplane deliveries and maybe the uncertainty associated with that and the delivery of our ViaSat 3 network, basically saying, "well, okay, given the fact gaps that small, we'll just go, okay". So, we're seeing some of each. We're hopeful that in the next quarter or so, we'll be able to talk explicitly about some of those deals. Then on the bandwidth utilization, yes, I think the general trends that we're seeing are just reflecting internet usage on a global basis. More and more people are interested in using the Internet on-board airplanes. In those that are using it, are tending to use more bandwidth, just because there is more media voice if, think of it as music and video embedded in social media in websites. And then also, in the streaming services. So, we're seeing more. We're also delivering more services, so that some of that comes from us being a prime contractor. And, for instance, if you look at our expanded agreements with JetBlue and United, each of those agreements involve us being a prime contractor and seeing more and more of those aircrafts converted to us being the prime contractor. That increases our responsibilities and revenue. And then finally, as we add services like broadcast TV, which we've done on American wireless IFE, you'll see that coming on additional airlines as well, and then some of these innovative services like the arrangement that we have with Apple and American Airlines for free Apple Music. All those are contributing to growth in revenue per aircraft. So that's that, plus the number of aircraft or what's driving our In-Flight Connectivity revenues.
Simon Flannery: Great, thanks a lot.
Mark Dankberg: Thank you.
Operator: Thank you. And our next question comes from the line of Phil Cusick from JP Morgan. You may begin.
Philip Cusick: Government strength has been really amazing and starting to look like a trend, especially with all these different backlog categories. Is there a reason to think that this drops back to a lower level, and again recognizing that there is lumpiness here, is this level a better norm to assume going forward?
Mark Dankberg: Well, I wish we could do 35% growth every quarter. We've been pretty consistent in the 10-ish plus or minus that, so like a low double-digit, percentage growth over the last few years. It's lumpy. I think that's probably a safer outlook for us. As we grow backlog and these IDIQs and get more confidence, I think if things change, we'll probably say that, but that double-digit, that's a good safe number.
Philip Cusick: Got it. Double digits are pretty big, right. And now that we're thinking more about the Viasat 4 generation; how should we think about R&D overtime? Should we look for this to ramp back up to the levels where it was a couple of years ago?
Mark Dankberg: No, one of the things Shawn mentioned before and I think you saw it this quarter, is we came at a trough, at about 5% of revenue and this quarter, I think we're at the 6% range and that's our budget going ahead. If we're going to deviate from that we'll probably say something, but I think to the point that Rick made about the next generation of that constellation is, there was a lot of new stuff associated with ViaSat 3 and then the next generation is really using those tools. In a way that should involve much less R&D, both in the space side in the ground side. And so we're just doing that trade-off. The main point we wanted to get across on Viasat 4 and that next-generation constellation is to not think of ViaSat 3 as a thing or an endpoint, think of it as the first of a series, and that there is a lot of growth in performance and productivity, that's the measure we keep coming up with. And if you look at, using that contrast with these LEOs, I think some people think that LEO itself are a thing, and actually if you look at what's going to make a LEO constellation good, it's really in the payout architecture. We think we really like ours and we think it's really scalable, in contrast to some of what it would take to do, some of these LEO systems and that's the point we wanted to get across. We've done most of that work already.
Philip Cusick: Great. And one more if I can?
Robert Blair: Just one thing Mark, the first thing about government side ViaSat 3; you're looking at how the government is going today when ViaSat 3 gets up there. We believe it's going to have a big impact on our government.
Mark Dankberg: Yes, that's true. Go ahead.
Philip Cusick: Got it. And then last one, if I can. You put in the press release a discussion of the 18-inch satellite antenna. What should we think about the target market there and what sort of conversations have you had already? Thanks.
Mark Dankberg: Okay. Basically, there is application for a range of government aircraft, basically with the larger aperture which is supported by those aircrafts. We can get higher peak speeds and better airtime costs. And so that's the dominant reason for it. So, some of them are in the rotary wing or the hybrid aircraft market and then the larger business jet market. Those would be the kind of the types of applications for that. And it just makes for better economics for those applications.
Philip Cusick: Thanks, guys.
Mark Dankberg: Thank you.
Operator: Thank you. And our next question will come from the line of Mike Crawford from B. Riley. You may begin.
Mike Crawford: Thank you. If I could just maybe riffle shot a couple of quick ones. One, you've got this nice jury award in your litigation against the Cassia [ph] Communications of $49 million award. Do you have a timeline for when the judge might add to that, given the extended period time of infringement?
Mark Dankberg: Okay. We don't like litigation, but we litigate when we feel like we need to, we're gratified by the jury decision, but there still a bunch of things to happen. There is going to be some post-trial motions by both sides and there will be probably appeals. So, it's too early to really speculate about what will happen next year, what the sequence will be, but I think it's a good indication that we certainly felt like we had a strong case in the matter.
Mike Crawford: Regarding another company that has a lot of IP that you're on the Board of Mark, and have investment is Trevesware [ph], and is there anything you can comment on how they're doing with their waveforms and business prospects?
Mark Dankberg: Yes. So, Charles, we are the majority owner of Trevesware [ph], essentially, it's a majority-owned subsidiary of ours, we're really pleased with the progress that they've made in defense terrestrial radios. That have been a pretty rapidly growing provider of specialty radios, mostly into the special operations and early responder community. But based on what's going on in the larger army, there is some really good growth prospects in there. Hopefully, that will play out over the next couple of years, but we're really pleased with what they've done in the technology that they bring in.
Mike Crawford: Okay, thanks. And then just on these non-developmental items like -- but the STT was certainly one of those. But we saw just on July 31 Army award for STTs. Does that mean that's a program of record or you can get funding from both sources for those still or?
Mark Dankberg: Yes, what's happened with a number of our -- what we call something a non-development item product. What that means is, basically, that we develop the underlying product on our own funds. Then, there may be customization or specific applications of those two specific platforms or operational needs. When that happens, one of the things you'll see is that there will be an official DOD nomenclature for that product and then often once it achieved that state, they'll consider it a program of record. So, that's happened with the STT. It's really become adopted as the primary small form factor and, you've been around for a while, you remember that there is a program called, Joint Tactical Radio System quite a while ago, which didn't end up leading to production, but there was what was called a small form factor radio in that. One of our targets was that we would end up sitting in there is the small form factor radio and that's essentially what's happened, that product. So, now that's become a program of record in a number of applications, that's happened with several of our non-development items. I think it's in the works or is happening with the BATS-D as well. And so, when those things happen, what you'll see is that some of those customers will be less reliant on the IDIQ types of contracts and we'll have our own program of record awards. But that's a good sign of success for that product and it really is, I think the real market leader in this small form factor Link 16.
Mike Crawford: Okay, thank you. And then the final one just relates to real-time earth, and where you would put that on the scale of future revenue opportunities? And then related to that would be, how these new ground station as a service installations, with the 7.3 main addition factor into that versus offloading other, like Leo constellation, ISR data, beam-them-up to ViaSat-3 and back down through your ViaSat-3 ground architecture, versus these specialized locations.
Mark Dankberg: Okay. Yes, I mean, it's a good question. I think it's taking a step back. When you think of the earth observation market in general, we're a lot more bullish about these proliferated small satellite, because with a lot of satellites you can see everywhere at once, and one of the big opportunities that can come with seeing everywhere at once is basically the opportunity to provide connectivity both to test the satellites so that they're looking at exactly the right place, with the right sensors. Then, the other is to get information in real time instead of hours later or days later. So, if you look at what's happening, there is a lot of creativity in small, relatively inexpensive earth sensing satellites, but building a ground network for each of those would tend to dominate the total system cost for that. So, there's two ways to go about at least two and a half years, so if going about turning this into a real-time business. One is to have a whole lot of ground stations, but that is probably limited, it's the first and the easiest way to do it, but ultimately may be limited especially over ocean areas. The other one is to do what's been done in the government in the defense space for quite a while, and that is relays from high orbiting satellites. So, one of the things we're are looking at, is to build some relationships with a real-time earth ground network and that includes relationships with satellite sensing operations, as well as ground systems around the world. We're doing that in multiple ways, some of it are on our own, some of it as a technology provider to other players. And then, the other thing is the thing that you mentioned, which is ultimately, if you really want to be able to get real-time anywhere in the world, doing relay through geosynchronous satellite system, especially one with really high bandwidth, is the best way to do it, we think. So we're working both. This is a good example of us testing market entries and what we think is a prudent way, but in a way that we think is consistent with the long-term trends. I think it's worth noting that we're doing it. There is still having to do.
Mike Crawford: Okay, all right. Thank you very much.
Mark Dankberg: Thanks a lot, Mike. Really appreciate your questions. So, I think that's it for questions. Thanks a lot everybody for joining our call and we look forward to speaking again next quarter.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.